Operator: Good day, and welcome to the Cable One Second Quarter 2021 Earnings Call. All participants are in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Steven Cochran, Chief Financial Officer. Please go ahead.
Steven Cochran: Thank you, Cole. Good afternoon, and welcome to Cable One's second quarter 2021 earnings call. We're glad to have you join us as we review our results. Before we proceed, I would like to remind you that today's discussion contains forward-looking statements relating to future events that involve risks and uncertainties. You can find factors that could cause Cable One's actual results to differ materially from the forward-looking statements discussed during today's call, in today's earnings release and in our recent SEC filings. Cable One is under no obligation and expressly disclaims any obligation, except as required by law, to update or alter its forward-looking statements whether as a result of new information, future events or otherwise. Additionally, today's remarks will include a discussion of certain financial measures that are not presented in conformity with U.S. Generally Accepted Accounting Principles, or GAAP. Reconciliations of non-GAAP financial measures discussed on the call to the most directly comparable GAAP measures can be found in our earnings release, or on our website at ir.cableone.net. Joining me on today's call is our President and CEO, Julia Laulis. With that let me turn the call over to Julia.
Julie Laulis: Thank you, Steven, and good afternoon, everyone. We appreciate you joining us for today's call. The second quarter of 2021 marks the sixth anniversary of our spin-off from Graham Holdings Company, formally The Washington Post Company. We were set to celebrate our 5th anniversary last year, but instead focused on supporting our communities throughout the pandemic. While the pandemic is not over yet, we remain confident in our ability to continue to pivot our operations as needed and keep our associates and customers safe, while connecting our communities to what matters most. In recognition of all of our associates effort since the spin, we'd like to share some of the incredible results we have had over that period of time. Since the spin, our last quarter annualized adjusted EBITDA has expanded from $316 million to more than $850 million, and our enterprise value has increased over 400%. We have maintained our strategic focus on HSD and business services across our family of brands, deemphasized video and continually found ways to be efficient with costs, but not at the expense of quality or reliability. Our results to-date have exceeded expectations with compounded annual residential HSD revenue growth of 17.9% and compounded annual business services revenue growth of 20.6% during the six-year [Phonetic] period ended June 30, 2021. Last quarter annualized adjusted EBITDA over the same period grew at a compounded annual growth rate of 18% and adjusted EBITDA margins expanded over 1,400 basis points from 39% to 53.1%. The spend also unlocked a new plank in our strategy. Since we were no longer a subsidiary of Graham Holdings, we took control of our capital allocation and used our balance sheet capacity to invest in the rural markets we serve so well. Since 2015, we have either made or entered into a total of 10 strategic acquisitions or joint ventures with a total aggregate investment of approximately $4.5 billion. These transactions have contributed significantly to the growth in our enterprise value from approximately $2.9 billion as of June 30, 2015 to approximately $15 billion as of the end of the quarter. This track record gives us great confidence in what lies ahead. Our focus, as always, remains on the long-term future and what's next for Cable One. Turning to our second quarter results. We are pleased to have once again delivered a quarter that exemplifies our trajectory since spin-off with continued strong customer and financial growth. Revenues increased 22.4% compared to prior-year quarter. Adjusted EBITDA increased 30.7% and adjusted EBITDA margin improved 340 basis points to 53.1%. Excluding the impact of Hargray Operations, revenues and adjusted EBITDA increased by 7% and 17% respectively, and adjusted EBITDA margin was 54.4%. Our residential HSD customer growth continues on a course well above pre-pandemic trends. Excluding Hargray, in the second quarter of 2021, we added over 12,000 residential HSD customers on a sequential basis. That is over 10 times higher than our growth relative to the second quarter of 2019. On a year-over-year basis, again, excluding Hargray, we added more than 53,000 residential HSD customers. Since the beginning of 2020 through June 30, 2021 our HSD penetration has increased over 500 basis points from 33.2% to 38.5%, highlighting how far we have come as well as a significant growth opportunity that remains available for us to capture. We continue to support our customers through the pandemic by participating in the FCC's Emergency Broadband Benefit or EBB program. This program provides critical connectivity to those who have been financially impacted by COVID-19. EBB participants to receive up to $50 off of their monthly bill based on their current Internet service and rented equipment. And those who live on qualifying tribal lands can receive up to $75 off their monthly bill. We began offering this benefit in May and currently have nearly 5,000 customers enrolled with more than 75% selecting premium product offerings with speeds of 200 megs or greater. Of those enrolled, less than 10% are new customers. Residential HSD demand for higher tier product offering continues, as sell-in for packages with a download speed of 200 megs or greater was approximately 78% in the second quarter and sell-in for our gig speed tier reached nearly 15%. The sell-in results, the increased take rates of our unlimited data plan and continued migration of existing customers into higher tiers contributed to our 6.2% year-over-year residential data ARPU growth. As a reminder, we haven't had rate increase in our legacy systems since the fall of 2015, and we actually decreased prices on our higher tiers at the start of 2019 when we launched our new pricing and packaging across the legacy footprint. Business services revenues continued to show positive momentum this quarter, with a growth of 31% year-over-year and 5.6% excluding Hargray operations. The business services team continues to seek opportunities to partner with government and local entities to provide connectivity in rural communities. In 2020, we were awarded $29 million from three agencies to expand broadband services for schools, libraries and small businesses within Gila County, Arizona. We recently completed construction on a portion of that project, building a fiber optic network that will provide fast and reliable, high speed internet service to businesses in Payson, Arizona. Once the entire project is completed, it will consist of more than 200 route miles to nearly 29,000 fiber miles, making this one of Cable One's largest single fiber construction projects to date. Businesses have shown incredible resiliency throughout COVID-19, and we consider ourselves a trusted partner to our business customers and have worked closely with them who -- those who have been impacted adversely by the pandemic. While we aren't back to pre-pandemic numbers, we have seen business services revenue accelerating each month through 2021, fueled by strong demand for connectivity in both the SMB and the enterprise segment. To round out another quarter of strong growth, we turned to our minority investments, where residential HSD customers grew by 1.7% on a sequential basis and added a total of approximately 5,400 new residential and business data customers. As a reminder, Hargray net adds are now consolidated with our operating results and are no longer included in this figure. These results demonstrate the continued demand for quality HSD services as well as the shared focus of our strategic partners. Turning to our network. Average data usage was approximately 475 gigabits per month. Plant utilization during peak now averages below 20% for both downstream and upstream traffic. Downstream improved meaningfully year-over-year from 25% to 19% and upstream utilization grew slightly from 17% to 18%. As a result of our ongoing investment and upgrades targeted at expanding capacity, we continue to stay well ahead of the demand. Moving to integration. Teams from across the company continue to focus on bringing our new brands together. Given that Fidelity's performance is ahead of plan, we've been able to pivot our primary focus to Hargray, where we are developing relationships and having knowledge exchange between peer leaders as we develop our three-year road map. As previously mentioned, we expect to start realizing synergies in 2022. In the meantime, Hargray continues to execute successfully on its business strategy. Through years of lessons learned, strategic resource allocation, hard work, we believe integration is now one of our core competencies. With the close of the Hargray transaction, we now compete in approximately 24% of our markets with Internet service providers that offer residential broadband download speeds of 100 megs or higher. While still a relatively low competitive profile, we continue to run our business as if every market is highly competitive, offering award-winning products and services and maintaining a local focus on customer needs. Before handing the call over to Stephen, I'd like to mention a few other notable events from this quarter. We are honored to have named third in the nation on PC Magazine's 2021 list of the top 10 fastest Internet service providers. Speed test for this award were conducted through the -- conducted during the height of the pandemic, which affirms our confidence in the robust and reliable network we have engineered and built. We are proud to have met the surge in Internet usage throughout the pandemic and to have provided the connectivity that has been so critical over this past 1.5 years. Sparklight business was also named a top business Internet service provider by PC Magazine, ranking fifth in the nation. Businesses across our footprint gave Sparklight top marks in overall satisfaction, cost, reliability and support to name a few. These awards would not have been possible without the tireless efforts of our associates, who remain dedicated to supporting our customers and our communities. In keeping with our commitment to supporting our communities, not only through our products and services, but through philanthropic initiatives and partnerships, we are pleased to share that we recently awarded more than $100,000 in grants to 30 nonprofit organizations across our 24-state footprint through the company's Charitable Giving Fund, which was launched in January 2021. The Charitable Giving Fund, which will annually award $200,000 in grants to local nonprofit organizations in our markets, concentrate support in the areas of education and digital literacy, hunger relief and community development. Finally, I'd like to welcome Todd Koetje, who will join the company as Senior Vice President of Business Development and Finance, in September. Todd comes to us from Truist Securities where he most recently served as Managing Director of Technology, Media and Telecommunications leverage finance team. He brings more than 20 years of relevant capital markets, telecom industry and financial leadership experience, making him a valuable addition to the Cable One leadership team. And now, Steven.
Steven Cochran: Thanks, Julie. The second quarter of 2021 generated exceptional financial results. Revenues for the second quarter were $401.7 million compared to $328.3 million in the prior year quarter, a 22.4% increase. This increase, which included $50.6 million of revenues from Hargray operations was fueled by a residential HSD revenue increase of 26.6% and a business services revenue increase of 31%. When we exclude second quarter 2021 Hargray results, we would have seen second quarter total revenue increased by 7% and Residential HSD revenues increased by 15.7% and business service revenue increased by 5.6%. Residential HSD customers grew by approximately $165,000 or 21.7% year-over-year. Approximately 110,000 residential data PSUs came to Cable One in the Hargray acquisition, of which approximately 19,000 were contributed to Hargray in the Anniston Exchange in October 2020. Excluding Hargray customers, we added over 12,000 residential HSD customers on a sequential basis. Operating expenses were $112.4 million or 28% of revenues in the second quarter compared to $106 million or 32.3% of revenues in the prior year quarter, a 430-basis point improvement, driven largely by a decrease in programming and compensation expenses. Selling, general and administrative expenses were $88 million for the second quarter of 2021 compared to $65 million in the prior year quarter. These expenses were 21.9% of revenues in the second quarter of 2021 compared to 19.8% of revenues in the prior year quarter. Net income in the second quarter was $106.2 million. Net income included a $33.4 million noncash gain on fair value adjustments associated with the company's existing investment in Hargray, partially offset by a $21.4 million noncash loss on fair value adjustments associated with the call and put options to acquire the remaining equity interest in Mega Broadband investments. As a reminder, the MBI options are subject to mark-to-market accounting on a quarterly basis. Until these options are exercised or expire, any changes in the assumption used to determine their fair values could increase or decrease the resulting valuation, which in turn could cause significant nonoperating fluctuations in our GAAP financial results from one quarter to the next. Net income per share on a fully diluted basis was $16.68 per share, inclusive of the noncash gains and losses just mentioned. Adjusted EBITDA was $213.2 million for the second quarter and increased 30.7% from the prior year quarter. For reference, Hargray's two months of operating results contributed $22.3 million of adjusted EBITDA this quarter. Our adjusted EBITDA margin increased 340 basis points year-over-year going from 49.7% to 53.1%. Capital expenditures totaled $89.3 million for the second quarter of 2021, which equates to 41.9% of adjusted EBITDA. During the quarter, we invested $19.4 million of CapEx for network expansion and $2.4 million for integration activities, bringing our total for the year to $26.5 million and $6.4 million, respectively. Adjusted EBITDA, less capital expenditures, was $123.9 million for the second quarter and increased 46.6% from the prior year quarter. In the second quarter of 2021, we paid $15.1 million in dividends to shareholders. On May 3, 2021, we closed our purchase of the remaining approximately 85% equity interest in Hargray that we didn't already own. The transaction implied a $2.2 billion total enterprise value for 100% of Hargray on a cash-free, debt-free basis. Additionally, on May 3, 2021, to partially finance the Hargray acquisition, we obtained an $800 million term loan, which matures in 2028. The net proceeds of the offering were $789.8 million after deducting issuance costs. From a liquidity standpoint, we had $449 million of cash and cash equivalents on hand as of June 30 and we continue to generate significant free cash flow. At quarter-end, our debt balance was approximately $3.9 billion, consisting of approximately $2.3 billion in term loans, $920 million in convertible notes and $650 million in unsecured notes and $5.6 million of finance lease liabilities. We also had $459 million available for additional borrowings under our revolver as of June 30. Overall, our debt to last quarter annualized adjusted EBITDA after netting cash on hand against debt was at 4.1 times as of June 30. Cole, we are now ready for questions. Cole, we are now ready for questions.
Operator: Thank you. [Operator Instructions] Our first question today will come from Phil Cusick with JPMorgan. Please go ahead.
Phil Cusick: Hi, guys. Thanks. Two questions, if I can. The pace of the residential broadband adds to the quarter, 12,000., a great result on an organic basis. How sustainable is that, and especially when you think about the EBB programs and potential further federal support going in the future?
Julie Laulis: Phil, it's Julie. I'll start out with that. I mean, I don't have a crystal ball. I don't know what's going to happen with the pandemic or with schools and certainly, the impacts of those things going forward as planned versus not would probably impact our business. But I feel pretty confident. I mean, we sort of pointed to thinking that -- and it's just thinking, it's not knowing because none of us know with the crazy world that we're living in, but thinking that the back half of this year is likely going to look like 2019. Now having said that, we said that at the beginning of this year too, and clearly, we're outpacing that by a long shot. So the real answer is we don't know, but we're prepared to handle the growth that we can still capture. The EBB is pretty interesting. As I noted, just a little bit under 10% of the customers that have come on our new customers. And likely part of that is getting the word out and quite honestly, the process to enroll is a bit onerous right now. So it will be interesting to see as we pivot to a longer-term program to see what we can bring on with that. It is pretty interesting to note that those same EBB customers, the majority of which were existing customers, they are upgrading at 3 times the rate of a non-EBB customer. So these are people that are taking this opportunity to get more speeds, more throughput, more data but with the government putting a portion of that bill.
Phil Cusick: Okay. And then second, if I can, debt-to-LQA-EBITDA 4.1 times. How do you think about that coming down over time? The rates you're raising money are amazingly low. I think it's all Stevens' doing. And does that make you more comfortable with taking a little more leverage on than you were in the past?
Steven Cochran: Well, I think doing what we did probably took to a leverage level that we hadn't anticipated before that. And I think a big part of that was just where we were able to borrow and what we're able to put in place. And clearly, I think we probably look at the converts as quasi leverage just from the standpoint of -- we clearly anticipate that those will convert over time, and they're not debt. Unfortunately, the very low cost of them means that there's not much debt service associated with them either. And so I think all of that allows us to -- that being said, I think we continue to grow very quickly. Keep in mind that that leverage number I gave did not include a full quarter of Hargray. So you add that in the loan, and it will drop the leverage on top of our continued growth. So I think we'll de-lever relatively quickly anyway. That being said, as opportunities present themselves, I think we definitely are more comfortable with a higher leverage than we probably were two years ago, before we kind of put the structure in place.
Phil Cusick: Yes, I didn't want to make it too complicated. But yes, that was my question. Thank you very much.
Operator: And our next question will come from Frank Louthan with Raymond James. Please go ahead.
Frank Louthan: Great, thank you. Walk us through a little bit more about what you're getting with Hargray and what can we expect kind of the trends with those subs, and in particular, talk to us a little bit about the extensive fiber network that they -- that you get with that and how that fits in your mix, and where you think the opportunity is to drive business there. Thanks.
Steven Cochran: Sure, Frank, I'll start-off and Julie can add in. and I think -- I mean, I think first and foremost, we get a company that looks very similar to ours in a lot of ways from the standpoint of the type of markets they serve, the type of associates that they have, and kind of their focused on associates first, and then customers and the communities we serve. And so that piece of it, which is kind of foundational to the things that we generally look at, is there, they have slightly higher penetration, they probably have markets that have slightly higher demos than us. And so, that being said, they also have 40% of their network that's already fiber. And so some of that they have a competitive standpoint and others, puts them well positioned. Keep in mind too, I think some of the higher penetration actually ties to the higher demos and to the nature especially at Hilton Head in the area around Hilton Head to what is kind of a more resort type town. And so yes, so I think from a growth opportunity standpoint, when we look at what is our real focus, which is HSD business services revenue growth and then letting that flow through the EBITDA. We think we have a lot of opportunity there, both from a growth on the top end, as well as just the ability to drive margins higher over time, that will be more aligned with our overall margins, which will allow for accelerated growth.
Frank Louthan: Right, great.
Julie Laulis: Yes. No, I mean, I think you nailed it, the people, the leadership, the know-how, the growth markets, the -- actually the footprint to grow too, not just organically, but their footprint gives us another footprint to edge out from if we so choose in the future.
Steven Cochran: Edge out and M&A, I think as we think about tuck-in acquisitions in the future, there's four or five more states that now fit into that profile for us that didn't beforehand.
Frank Louthan: All right. That's helpful. And then just a follow-up with the Mega Broadband investment that you have. Can you walk us through sort of the -- again, remind us the time line of the optionality you have and what's the soonest that you could potentially take a larger stake in that business?
Steven Cochran: Yes. So we have 1.5 years time window that begins at the end of the first quarter of 2023. So starting in 2023, toward the end of the third quarter of 2024, we have the option. There's a time period within each of those quarters that we can notify them that we're exercising it. And then obviously, there's still approvals and stuff that have to go through. So just you wouldn't -- you would have to announce it and then go through the process to get it closed, which can be a long process, but nonetheless. So I think there'll be a lot of factors that play into that, everything from where we are on Hargray integration at the time as well as capital markets and where we are from the ability to raise incremental capital we'll need to close that part of the transaction. So -- and that's one of the reasons we structured the deal the way we did was the going in thought is that we'll want it as soon as we can get it. But we needed some level of optionality in case just conditions don't allow that to happen.
Frank Louthan: Okay, great. Thank you.
Operator: And our next question will come from Craig Moffett with MoffettNathanson. Please go ahead.
Craig Moffett: Hi. Thank you for taking the question. I wonder if you could just talk about the competitive dynamics that you're seeing in your markets, particularly sort of growth markets like Boise, Idaho, for example, there's been so much talk about fiber expansion and people like T-Mobile doing fixed wireless broadband. What are you seeing in those markets in terms of new competitive entry and -- if maybe you could just quantify what percent of your footprint today do you see fiber? And what is your best estimate for where you think you're going to be overlapped with fiber in the next couple of years?
Julie Laulis: That's a big one, Craig. So right now, 24% of our footprint has a provider that is offering at least 100 megs. About 14% of our footprint has a fiber provider in it, so relatively small. What do we see? We do see some encroachment of smaller -- not usually bigger, but smaller mom-and-pop folks wanting to get into the broadband business because they hear it's a growing happening thing. But we also have some pretty clear insight into how each one of our markets is performing vis-a-vis any competitor that we might have. So we might have AT&T or CenturyLink, DSL. In some of our markets, we actually have AT&T Fiber. And what we know about what's occurring in those markets is that we are winning share, not them. At this point in time, we are winning share, and it does not matter what type of technology that competitor has, whether it's DSL or Fiber, we are coming out the winner at this point in time. That being said, we are incredibly diligent about boots on the ground. We are in our local communities. We don't have operations like call centers, overseas or aggregated in big cities. Our associates are located in our local markets. So there's a boots on the ground, so that we know if anybody is talking to city officials or if there are locates going on so that we can make sure that we are more than ready to meet the competition. Competition will make us better in the long run. We're not seeing anything from T-Mobile at this point in time. Again, I think as long as we're focused on taking care of our customers, I really don't see them coming out with something that meets our customers' needs better than what we already provide for them.
Steven Cochran: Yes. And I would just add, I think if you think about 78% of our customers are at 200 meg or taking 200 megs or higher and average usage is approaching 500 gigs, that's not what the customer base at T-Mobile is going after. It doesn't mean they won't be successful in our markets because there's still another 60% of people and some of them are taking DSL, and they may be successful there. I don't think we're targeting the same customers though. And because of that, I think that -- we obviously are paying attention to, but we don't see it as a big competitive threat to us.
Craig Moffett: That's helpful. Thank you.
Operator: And our next question will come from Brandon Nispel with KeyBanc Capital Markets. Please go ahead.
Brandon Nispel: Great. Thank you for taking the question. I want to follow-up on Craig's questions for Julie. So Julie, in markets where you have fiber competition, can you talk about the sophistication of your pricing construct, where you're able to price services on a market-by-market or even street-by-street basis, how common is that today? Secondly, can you talk about the ARPU, the data ARPU for Hargray? It seems as if it's pretty close to legacy Cable One, but just wanted to confirm that. Thanks.
Julie Laulis: All right. Sure. So fiber competition, there's AT&T in the Southeast. And then there is -- well, they have a teeny bit in Texas as well. And we have a provider called ALLO in Norfolk, Nebraska, which is one of our smaller markets in the mid-West, and TDS starting up in Boise. We do have, in the past, in order to drive efficiency, we had this mentality that one size fits all. And as we have grown and increased our footprint and have seen some competition into our markets, we rapidly changed that mindset. And so now we offer pricing that can go literally, as you mentioned, street by street. And we can offer that pricing just in time. We don't have to open up different pricing where our competitive pricing is called Freedom Connect. We don't have to open that pricing months in advance. We can open it just in time. And we found so far that strategy to work well for us in terms of maintaining the balance between market share and ARPU. ARPU and Hargray, I mean I could talk more to ARPU and fidelity, quite honestly.
Steven Cochran: So the ARPU in Hargray is very similar to the Cable One ARPU, except for on the commercial side, where their commercial ARPU is quite a bit higher, I guess our commercial ARPU is quite a bit higher in the Hargray markets than what it was in Cable One. So you'll see that pull up the total there. But from a residential standpoint, we were pretty close to the same.
Brandon Nispel: Okay. Thanks for taking the questions.
Steven Cochran: I would just add on the competitive side. I think I joined here three years ago, and at the time, it was Julie's focus to develop a competitive mindset, and I would say the change over three years has been pretty dramatic. And I think, we have an intense focus on it now or, I would say that -- as she said, that wasn't the focus I kind of didn't have to be and it wasn't, and it was very much focused on efficiencies. I think we've done a really good job of continuing to focus on margin, but also drive this competitive mindset throughout the organization.
Brandon Nispel: Great, thank you.
Operator: And our next question will come from Steven Cahall with Wells Fargo. Please go ahead.
Steven Cahall: Thank you. Julie, last quarter, I think you talked about on the call that subscriber trends had continued to be pretty strong in April. I'm just curious you had a good subscriber result for the quarter. Is that kind of consistent through that? And any commentary on how things feel kind of coming out of it into this period of kind of fresh uncertainty? And maybe you could talk about how Hargray's and your other minority investment companies are performing from a broadband net add basis as well. And then a quick follow-up.
Julie Laulis: So sub trends, like in the discussion with Phil, I would say for 2021, the year started out very strong. And we -- I mean, the first quarter was very strong. April was very strong. May and June were better, as you heard. I mean, I think we were 31% better in this quarter than we were in 2019 in this quarter. So obviously, not as high as 2020, the height of the pandemic, but higher than 2019. Churn also continues to be unbelievably low. Like, we were on a track of driving churn down before the pandemic hit. And of course, during the core of the year, we expected that to be low, especially when we were doing the Keep Americans Connected pledge. But even in 2021, our churn continues to drive lower, which -- I mean we really believe people have found a -- they have choice. They have choice of providers. They've choice of plans, and they have found a plan that works for them and gives them value. But it's summer, and so we're seeing typical summer trends start to set in. So the fall brings -- so the kids going back to school or the kids not going back to school, that does have an effect on how we do, I think. And Hargray is no longer here to be an investment. Their numbers are as of this quarter included. Now they weren't in for a full quarter, they were in for two months.
Steven Cochran: Right. And the one thing we mentioned, the 12,000, which was excluding Hargray, they did have 2,000 kind of organic in the quarter that wasn't technically part of that 12,000. So if you include that as organic, then we truly had 14,000 as organic. But our other investments continue to, as we mentioned, 1.7% sequential growth in the other businesses, I think they continue to see similar trends to us, which is not as fast as it was this time last year, but still kind of better than what has been historic.
Steven Cahall: Great. And then maybe just if we could take that into penetration. I've historically thought about penetration as maybe being a little bit lower in your markets than some of your peers. But as you're seeing these strong trends in the sell-in at 100 megabits, the gig sell-in, the impact of EBB, do you have a little bit more headroom on -- do you see there being more headroom on penetration than what you thought historically, the churn dynamic might inform that as well? So just curious your thoughts there.
Julie Laulis: Yes, I do think that is the case. I mean, as we look at customers that are coming on now, who are they? They have a credit profile that's very similar to our current customers. So again, I mean, these are good quality customers. Many of them are making a choice to come to us from other providers. Could be DSL, could be fiber to the home. Many of them were cell-only, were wireless only. And that group, the people who have come to us during COVID, so from, say, March of 2020, are stickier than customers prior to them. So that is to say the retention curve on anyone that has joined us since the pandemic is better than it's been in the past. And in the past, those customers, that cohort had very low churn. This new cohort is even stickier. In terms of penetration and where we can go, the pandemic accelerated the need for a reliable, robust HSD service. And so now that innovators can see that this network exists, there's going to continue to be innovation and just great products and services that can ride over our network. So sure. I don't really see at this point in time, we've got a lot of work in front of us in terms of capturing penetration and continuing quite honestly, to drive our margins.
Steven Cochran: Yes. And I would say that the mindset piece, I think, also positively impacts that because I think the one side that also has you marketing to a pretty narrow base. And I think with what we've done on that, we've definitely been able to become much more targeted to different groups, not just kind of that main group we were focused on. I think for all of those reasons, we feel we've got continued penetration upside. We probably aren't catching the industry averages anytime soon, but I think we've got a lot of upside, maybe a lot more upside than what the industry does.
Steven Cahall: Yes, thanks.
Operator: And this will conclude our question and answer session. I'd like to turn the conference back over to Julie for any closing remarks.
Julie Laulis: Thank you, Cole. We appreciate everyone joining us for today's call and look forward to speaking with you all again next quarter. Be well.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect your lines at this time. And have a great day.